Operator: Good day, and welcome to the Ameris Bancorp First Quarter 2024 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Nicole Stokes, Chief Financial Officer. Please go ahead.
Nicole Stokes: Great. Thank you, Danielle, and thank you to all who have joined our call today. During the call, we will be referencing the press release and the financial highlights that are available on the Investor Relations section of our website at amerisbank.com. I'm joined today by Palmer Proctor, our CEO; and Doug Strange, our Chief Credit Officer. Palmer will begin with some opening general comments, and then I will discuss the details of our financial results before we open up for Q&A. But before we begin, I'll remind you that our comments may include forward-looking statements. These statements are subject to risks and uncertainties. The actual results could vary materially. We would list some of the factors that might cause results to differ in our press release and in our SEC filings, which are available on our website. We do not assume any obligation to update any forward-looking statements as a result of new information, early developments or otherwise, except as required by law. Also, during the call, we will discuss certain non-GAAP financial measures in reference to the company's performance. You can see our reconciliation of these measures and GAAP financial measures in the appendix to our presentation. And with that, I'll turn it over to Palmer for opening comments.
Palmer Proctor: Thank you, Nicole. Good morning, everyone. We appreciate you taking the time to join our call today. On our last earnings call, I reminded everyone how we spent 2023, strengthening our balance sheet to prepare ourselves for 2024 with a healthy margin, strong capital, and increased reserves. In the first quarter of 2024, results were evidence of those efforts. Excluding the cyclical and special items, we continue to operate at a 2% PPNR ROA. Our discipline in creating diversification in both the loan and deposit franchise as well as our revenue streams has us well positioned. We grew deposits this quarter by 5.6% annualized and over $46 million of that deposit growth was in noninterest bearing. This supported our loan growth of 6.5% annualized while maintaining the same loan-to-deposit ratio and an above-peer net interest margin of 3.51% for the quarter. Our balance sheet remains strong with a healthy reserve for credit losses. During the first quarter, we recorded $21 million provision for credit losses, bringing our coverage ratio up to 1.55% of loans and 325% of portfolio NPAs. Once again, this provisioning was growth and model driven and not related to credit deterioration. I'm very pleased with our capital position. We grew tangible book this quarter by over 10.5% annualized to end the quarter at $34.52 per share. Our TCE ratio is well over our stated goal of 9%, now coming in at 9.71%. And when I look out for the remainder of 2024, I remain encouraged as we continue to benefit from several things. First, obviously a solid core deposit base, a healthy margin, a diversified revenue stream, strong capital and liquidity positions, which certainly provides us with a lot of the optionality we keep talking about for economic changes that may occur, a well-capitalized balance sheet with a healthy allowance. And when you add that in with a proven culture of expense control and seasoned bankers in top Southeastern markets, that's really what helps drive our optimism. I'm going to stop there now and turn it over to Nicole to discuss our financial results in more detail.
Nicole Stokes: Great. Thank you, Palmer. For the first quarter, we're reporting net income of $74.3 million, or $1.08 per diluted share. On an adjusted basis, we earned $75.6 million, or $1.10 per diluted share when you exclude the FDIC special assessment and the gain on BOLI proceeds. Our adjusted return on assets improved to 1.20% this quarter, and our adjusted return on tangible common equity improved to 12.88%. We continue to build capital and we remain focused on growing shareholder value. We also purchased approximately $2.1 million of common stock during the first quarter, and we have approximately $94.7 million remaining available through the end of October. On the revenue side of things, our interest income for the quarter decreased $2.8 million over last quarter, almost all from day count, with February being a short month. In addition, most of the loan growth for the quarter came in March, so we didn't get the full benefit of that growth on the income statement for the quarter. As expected, deposit costs rose this quarter, causing our net interest income to decline about $4.7 million. But the pace of the deposit cost increases continue to moderate as the cycle matures. Our net interest margin remains strong at 3.51%. We were pleased with just 3 basis points of margin compression this quarter and very excited to still be above a 3.50% margin this late in the cycle. Our yield on earning assets increased by 4 basis points while our total funding cost increased only 9 basis points. Now, I want to remind everyone that we continue to be close to neutral on our assets liability sensitivity as we've programmatically repositioned our balance sheet over the past two years to be ready for unclear Fed decisions. We're prepared for the next Fed decision, whatever and whenever that is. We've updated the interest rate sensitivity information in our presentation on slide five. Kind of moving on to noninterest income that increased $9.6 million this quarter, mostly in the mortgage division due to the increase in gain on sale margins improving. And then moving into expense, our total adjusted noninterest expense increased about $6.5 million in the first quarter, most of which was due to the cyclical payroll taxes and 401(k) matching contributions. Our adjusted efficiency ratio was 54.56% this quarter and was elevated because of those cyclical payroll items, but we do anticipate maintaining an efficiency ratio below 55% for the remainder of the year. On the balance sheet side, we ended the quarter with total assets of $25.7 billion, compared to $25.2 billion at the end of the year. Loans increased about $330 million this quarter, and deposits increased $289 million. That represents a 6.5% annualized loan growth and a 5.6% annualized deposit growth. We continue to anticipate 2024 loan and deposit growth in the mid-single digits and we expect that deposit growth will be the governor on loan growth. We remain focused on a successful 2024 due to our well-positioned balance sheet and our strong market. And with that, I'm going to wrap it up and turn the call back over to Danielle for any questions from the group.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Casey Whitman of Piper Sandler. Please go ahead.
Casey Whitman: Hey, good morning.
Nicole Stokes: Good morning.
Palmer Proctor: Good morning, Casey.
Casey Whitman: So, Nicole, I know you commented just about how you're in a relatively neutral position to rates, but can you walk us through sort of how you're viewing the margin over the next few quarters? And then is it safe to say for Ameris, you sort of reached NII inflection here, we might start to see that grow? Or is it too early for that?
Nicole Stokes: Casey, I appreciate the question, and you know, I've been so cautious to use some of those words of inflection and even trough. And so, I don't want to oversell, but I do want to point out a few good things on the margin. First of all, our beta catch-up this quarter was only 4 basis points. And when you compare that to last quarter, it was 8 basis points last quarter, and a year ago, it was 14 basis points. So that's certainly a trend that we appreciate. Then, when you look at the deposit mix change, you know, typically our first quarter, we have a lot of cyclicality in our public funds, and that causes kind of some noise in our margin. But this quarter, we did a really good job protecting that 31% noninterest-bearing mix. And so, our deposit mix change, even with those cyclical outflows, was only 1 negative basis point on the margin, and that compares to 18 basis points first quarter last year, where we normally hear that noise. So again, I don't want to oversell, but there's some good movement on the deposit side. And then -- so that, you know, those 4 basis points and that 1 basis point that was kind of 5 negative basis points. And then we had 2 positive basis points of asset sensitivity that picked up to kind of get us to that net 3 compression. So, the wild card in all of this is deposit costs and what those do going forward. But we can definitely say that the trend is the beta has definitely slowed, that the deposit mix has stabilized, and then we still have that slightly asset sensitive, just very, very slight asset sensitivity where we've got some loans repricing.
Casey Whitman: Okay. Thank you for all that. Just switching gears, any comments you can provide just to the outlook on mortgage feeling like the open pipeline and you had a higher gain-on-sale margins. Just suggest you're set up for a stronger year than last year. So just sort of what are you seeing on the ground there and what is a good expectation for revenue growth this year, even if we don't get cuts.
Palmer Proctor: Yes, Casey. This is Palmer. I will tell you, we are very pleased with the -- obviously the core bank's production this quarter. And then, you obviously compound that with mortgage. That was kind of the icing on the cake. But the mortgage outlook, I would tell you, is positive. But then again, as we all saw over the last couple days, the 10-year moves and then volume pulls back down, we have had a good strong start to the first part of the year and there is some momentum there. But so much of that is just driven by market conditions, the way we operate that business, which is, as you know, very heavy purchase business, and that's encouraging to us to see that. I do think that mortgage trends and the desire for mortgage product is still there, and people are going ahead and buying homes and then just assuming they're going to refinance them down the road. So, this quarter, when you look at the gain on sale, we did have those margins improve considerably, but I think to expect that to continue maybe a little premature at this stage, just given where we are in the cycle, I do think we'll stay above the 2% range, but you know, anywhere it's pretty wide range, anywhere between 2% and 2.5% in terms of any guidance, but we're encouraged by what we see. But so much of that volume, as you well know, especially given the type of loans that we do, is driven by market rates. And right now, we've had another swing the other way. So the pipelines look really good first part of the year. There -- a lot of people are talking about seeing less seasonality. I think a lot of what we see was seasonality because of the markets we're into. So, being heavy in Georgia and Florida and Carolinas and Mid-Atlantic, those Southeastern markets have really paid dividends to us. So, I think either way we will fare better than most of our peers just based on how we're positioned. But the outlook right now is just kind of anybody's crystal ball in terms of where rates go.
Casey Whitman: Okay, understood. Thanks for taking the questions and a nice quarter.
Palmer Proctor: Thank you.
Nicole Stokes: Thank you.
Operator: The next question comes from Will Jones from KBW. Please go ahead.
Will Jones: Hey, great. Good morning.
Palmer Proctor: Good morning.
Nicole Stokes: Good morning.
Will Jones: Hey, just sticking with the mortgage discussion. I mean, it was -- you know, it was great to see higher revenues, but I feel like another big, big storyline was that, you know, we didn't see the same ramp and expenses as we did with revenues. So, the cost containment remained relatively solid there. As we think about mortgage trending seasonally higher from here, do you expect you can kind of keep the same level of cost containment on the mortgage side? And then, I guess just a separate follow-up to that, Nicole, is in the first quarter, the expense run rate, is that kind of a good jump it off point for the remainder of the year? Obviously, you know, we have a little bit of seasonality ahead.
Nicole Stokes: So, I'll take the mortgage question first. On the mortgage side, they did have -- they did a fantastic job of controlling expenses, but as production ramps up, there is going to be some expense growth related to that as far as commissions, incentives, data processing. So they typically run around a 60% efficiency ratio. So you can kind of model that out as you're modeling the revenue growth, kind of model that expense growth as well. And then overall, for a run rate from the first quarter, I would just caution that we have about $4 million in the first quarter that are cyclical payroll taxes and 401(k) match. So that will decline as the year goes on. So they'll be a little bit out of the second quarter, a little bit out of the third quarter, but that $4 million kind of bump is in the first quarter. Outside of that, there's no other anomalies really in the first quarter from a run rate perspective.
Will Jones: Great.
Palmer Proctor: And Will, just to add that, you know, one of the things that we have kind of prided ourselves on, and I give full credit to the mortgage operators, is that the capacity that they've created and their ability to lever up that operation is tremendous relative to a lot of our peers. And a lot of that has to do with technology, and certainly, a lot of that has to do with talent. So, when you think about potential tailwinds for the industry or our ability to absorb additional volume in that area relative to our fixed cost, we're probably in a very good position relative to most others just because we've got that infrastructure in place and we have that talent in place.
Will Jones: Yes, that's great. So certainly, more desirable to be on the offensive there. And then, just one quick one for me on credit. You know, the trends that were broadly clean, we even saw, you know, takedown and criticize or -- a takedown and criticize NPAs, although you guys did build the office reserve. I know office is a little bit bigger for you guys, just relatively speaking. What were some of the drivers there? What were some of the dynamics behind that reserve build?
Palmer Proctor: Well, I think you'll see if you look at the metrics on office right now, knock on, well, we have zero delinquencies and zero charge-offs, and it's pristine. And so, ours is model driven, as I said in my initial comments. So when we run our models and Moody's model, and we look at the CRE index and office in particular, that's really what's driving that. So, there's no signs at this stage of any credit deterioration.
Will Jones: Okay, that's great. Thank you.
Operator: The next question comes from Russell Gunther from Stephens. Please go ahead.
Russell Gunther: Hey, good morning, guys.
Nicole Stokes: Good morning.
Russell Gunther: Circling back to the margin discussion you guys mentioned in the deck, could you quantify about $10 billion of loans repricing within the year, either maturities or floating rate? Just kind of focus on the more fixed piece and what the magnitude coming due is and what you'd expect the pickup in yield potential to be.
Nicole Stokes: Sure. So when we look at it from a repricing perspective, we've got about 36%, 37% of our loans that are repricing in the next year. Those are coming in at about a 7.50% rate. So, think about -- the thing is, there's a -- so much of our portfolio is -- or there's a portion of the fixed rate portfolio that behaves like a variable rate loan. For example, our premium finance, those have just about a 10-month duration, but they are technically fixed rate, but they behave like a variable rate. So those have really already repriced. So there's not as much emphasis from a credit score perspective that all of a sudden we've got a credit issue of people repricing. And then from the -- we also have the warehouse lines that are fixed rate, but they behave like a variable rate. So when you put that in, we're really more of a 50% fixed, 50% variable.
Russell Gunther: Okay, got it. Thanks, Nicole. And then, maybe just moving on to the capital discussion. When you're in a very healthy position, excess capital bought back a little stock this quarter. How are you thinking about deployment priorities? And does a more active stance on the buyback, something you'd consider in '24?
Palmer Proctor: Yes. At this stage of the game, I don't see any change in our approach there. We're very pleased with the capital we've been able to accrete, and we certainly have the buybacks in our quiver in terms of our ability to execute on that. But right now, we're kind of just in a capital preservation mode as we work through this economic cycle.
Russell Gunther: Okay, great. Thank you, Palmer. And then, last one for me. You guys touched on the reserve a bit, perhaps related to office. Overall, just a really steady build above peer ratio. Where do you expect this to trend going forward? And then separate, just kind of follow-up would be helpful to get charge-off activity within Balboa and whether there's any change in that outlook as a part of '24.
Doug Strange: Well, so with respect to the reserve, as Palmer noted, you know, we are model driven. Our models are based on indices that we think are relevant given our portfolio -- our loan portfolio composition. And you know, we're happy 1% to 1.55% based on the Moody's forecasting as of March. Any future reserve changes would be -- would be led by those models. Second part of your question, charge-offs, we're 25 basis points for the quarter, which was a little bit better than fourth quarter last year. The charge-offs for equipment finance do remain a little elevated, but you got to remember that's a high yield, higher risk business. And so, we expect some of that notwithstanding, we did take several steps in tightening up certain credit boxes with respect to that division, but recognizing we get good yields out of that loan business.
Russell Gunther: Yes. No, understood. I was just curious if you had the actual charge-off impacts for the quarter and a reminder on sort of what the lifetime loss you expect range within that -- within that book.
Doug Strange: If you look over, you know, 10-year history, the loss rate for equipment, finances, probably sub-2, 1.5 in that range. Are you asking about this quarter in terms of a dollar amount or percentage or what was only a…
Russell Gunther: Yes. I'm just trying to get a sense of the 25-basis point kind of all-in number what Balboa's contribution was for this quarter.
Doug Strange: The bulk of that -- probably 90% of that was equipment finance.
Russell Gunther: Got it. Okay, great. Thank you all for taking my questions.
Operator: The next question comes from Christopher Marinac from Janney Montgomery Scott. Please go ahead.
Christopher Marinac: Thanks. Good morning, Nicole. I wanted to try to connect the dots with the net interest margin possibly bottoming sooner versus later, and then kind of what that means going forward to the PPNR ROA. Could you see that profitability get even stronger as margin, you know, possibly gets better?
Nicole Stokes: You know, Christopher -- Chris, we've said from the beginning that kind of, if we could come out of this cycle with a 3.50% margin, that we would consider that a victory. And to be at 3.51% this late at the cycle, we feel like that is fantastic. And I say that if we have some short-term compressions at kind of low-single-digit in the next quarter, you know, I think I've said last quarter that we had maybe two more quarters, which would have been this quarter and next quarter. So if we are bouncing around between a 3.48%, 3.49%, 3.51%, maybe a 3.52%, you know, somewhere in that range, that's still a really -- that is a really strong margin that we're pleased with. You know, I'm probably the most cautious person to ever call a trough, but I will say that we like the 3.50-ish margin, and we're proud of that. You know, the speed of our deposit price increases have definitely slowed. We've got some really good tactical things as far as our retail CDs being very short. All of our broker CDs are short, very short. Like, they all mature by July. And then about, like I said, about 37% of our loan book reprices. So, we've got some good. We feel like we've positioned ourselves very well. And could we see a little bit more compression? Maybe, but I think it's definitely slowing.
Christopher Marinac: Great. That's helpful. Thank you for that. And I had a credit question as it relates to SBA. Is there anything that you see down the road on SBA that would be influential for either charge-offs or just credit in general?
Doug Strange: Chris, not materially. I mean, we've -- that portfolio is under stress as most people realize small business. You know, when your lowest cost of capital is 10% or 10.5%, that does put pressure on the group of companies. But we -- you know, we have the guarantee and we've been recognizing those losses as they occur and we may see a little bit more. But again, that book overall is about 1% of the portfolio.
Palmer Proctor: And you know, we're glass half full. But I'd love to see more volume coming out of that area, Chris, we've talked about, but due to the fact we didn't have a whole lot of increased volume over the last couple of years, because everybody's focused on PPP, as you recall, that -- that did help probably eliminate any additional potential risk that we have from a credit perspective in that overall portfolio because, as Doug mentioned, is minuscule in terms of the overall. But there will clearly be stress there. I do think there'll probably be some programs that the SBA will come out with in terms of deferments, similar to what they do in mortgage to assist with some of this stress and -- but right now, we feel pretty good about what we've got.
Christopher Marinac: Great. And then last question just has to do with, Palmer, I guess, the discipline that you've mentioned before about matching new loans and new deposits. Is that still, you know, the game plan going forward?
Palmer Proctor: Absolutely. And you know, Nicole -- you just talked to Nicole about margin, and one of the things that you cannot overlook is the value of bringing in noninterest-bearing deposits. We certainly try and control what we've already got, but more importantly, we're trying to look at what we can build. And when you look at the DDA build this quarter, I think it's evidence of our efforts there that are starting to come to fruition. So with the focus we've had over the last year, not anything new, it's, you know, on treasury and aligning and controlling. And that's one of the benefits all banks have, if they're disciplined about it, is allowing deposits to kind of be the governor for the loan growth. And I think we're probably a good example of that, and that will continue.
Christopher Marinac: Great. Thank you for taking all of our questions this morning.
Palmer Proctor: Okay, thank you.
Operator: The next question comes from David Feaster from Raymond James. Please go ahead.
David Feaster: Hey, good morning, everybody.
Nicole Stokes: Good morning.
David Feaster: Maybe just a high level question. I'm curious, how do you all -- you guys have done such a good job managing the balance sheet throughout this cycle, and you're pretty rate neutral at this point. And look, the rate outlook continues to change pretty rapidly. Last quarter, we were talking about cuts. Now, we're looking at higher for longer. I'm just curious, how do you think about managing the balance sheet at this point just kind of given the uncertainty on rates and maybe some initiatives that you have in place or strategies that you guys are considering?
Nicole Stokes: Sure. So, you know, we really are proud of the fact that we've gotten -- I don't think we could have timed it any better to be this close to neutral this part of the cycle. So, longer for -- higher for longer, we've always kind of been in that camp of higher for longer. So, there are some things we can do specifically with -- and we have been doing with our brokered CDs being short, our retail CDs being short, so that we can become more liability-sensitive pretty quickly. The other thing is that our bond portfolio, we continue to have a smaller than usual bond portfolio. We're still only about 6.5% of our earning assets in the bond portfolio. You know, we could put another $300 million in there and it would bring us up to about 8% of our earning assets. So we have movement that we can do there. We also have about $650 million of our bond portfolio that matures. We have a very short duration on our portfolio. You know, this year, we've got about $300 million maturing, that's at a 350 coupon, and we've got about 335-ish maturing next year, that's at a 290 coupon. So there are some things that we can do on the balance sheet to pre -- kind of pre-fund some of those payoffs that will also help us when we become more liability-sensitive in the longer run.
David Feaster: Okay, that's helpful. And then maybe just, you know, kind of touching on the margin side. I mean, Palmer, you just -- you nailed it. The key to the margin is really going to be deposit performance, especially on the NIB front. And it's not lost on us that you saw NIB growth on a period end basis. I'm just curious, maybe some of the underlying trends that you're seeing, like, I mean, from the NIB side, how are, you know, accounts trending imbalances early into the quarter? And how you think about NIB and your kind of deposit growth strategy as we look forward?
Palmer Proctor: Yes. I don't think -- you know, the nice thing, David, is we're not having to adjust our strategy, because we've been -- we've always been a -- I'd like to say we're deposit hounds. We've always focused on that. When you look at our deposit mix, I think it's perfectly reflective of that. And so, when you look at our composition, with, you know, 37% consumer and 42% commercial, what we're seeing is the focus that we placed on small business banking and on our C&I efforts, that's really -- as we all know, that's where the operating accounts come in, the payroll accounts come in, and that's where our focus has been around the treasury management side. So when we look at the hires that we had over the last 24 months, that's primarily been where that additional expense has been, and that's where that value has been created. So, we will continue with that and hope that we can keep this trend going, because it really just comes back to core fundamentals. And I do think right now there are a lot of folks that are probably more focused internally, which has given more -- us more opportunity externally in terms of new relationships, and I think banks are doing a much better job of making sure that there's an alignment between loans and deposits whereas in the past it was more transactional focused on the loan side, and then you'd ask for the deposits. Now, we ask for the deposits and we have the deposits, then we'll consider doing the loans. And that's a very different change in psychology and approach. And right now, in this environment, it seems to be working pretty well.
David Feaster: Okay, that's great. And then maybe last one for me, just touching on capital priorities. You've got an extremely strong balance sheet. You're accreting capital. You know, with kind of that slower loan growth and funding being the governor on loan growth, I'm just curious, is your capital priorities at this point -- or is capital preservation just kind of the focus at this point?
Palmer Proctor: Yes, it'd be capital preservation. Clearly, we've got the buybacks in place if we choose to do so. But right now, I think at this point in the cycle, it's more prudent, as we have been consistently saying to just keep accreting and preserving that capital.
David Feaster: Got it. All right. Thanks, everybody.
Palmer Proctor: You bet.
Nicole Stokes: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Palmer Proctor for closing remarks.
Palmer Proctor: Thank you, Danielle. And we appreciate everybody's participation today on the call. And we look forward to sharing our results with you next quarter. Thank you, again, for your time and your interest in Ameris Bank.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.